Operator: Welcome to the Fourth Quarter and Full Year 2017 ICF Earnings Conference Call. My name is Vanessa and I'll be your operator for today's call. During the presentation, all participants will be in a listen-only mode. Afterward you'll be invited to participate in a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded on Tuesday, February 27, 2018, and cannot be reproduced or rebroadcast without written permission from the company. I will now like to turn the program over to Lynn Morgen. Please go ahead.
Lynn Morgen: Thank you, operator. Good afternoon, everyone. And thank you for joining us to review ICF's fourth quarter and full year 2017 performance. With us today from ICF are Sudhakar Kesavan, Chairman and CEO; John Wasson, President and COO; and James Morgan, CFO. During this conference call, we will make forward-looking statements to assist you in understanding ICF management's expectations for our future performance. These statements are subject to a number of risks that could cause actual events and results to differ materially, and I refer you to our February 27, 2018 press release and our SEC filings for discussions of those risks. In addition, our statements during this call are based on our views as of today. We anticipate that future developments will cause our views to change. Please consider the information presented in that light. We may at some point elect to update the forward-looking statements made today, but specifically disclaim any obligation to do so. I will now turn the call over to ICF's CEO, Sudhakar Kesavan to discuss fourth quarter and full year 2017 performance. Sudhakar?
Sudhakar Kesavan: Thank you, Lynn, and thank you all for joining us this afternoon to review our fourth quarter and full year 2017 results and discuss our outlook for 2018. Our fourth quarter results represented a strong finish to 2017 and brought our full year performance in line with the guidance we provided at this time one year ago. Revenue growth was led by a strong double digit increase in our commercial business where we saw significant year-on-year improvement across the clients that that was supported by higher pass-through revenues. In addition to the strong growth in our commercial business, revenues from our government clients increased at a low single digit rate, driven by strong growth from our European Union clients and slight growth from the US federal market. Overall, we were pleased with our service revenue growth of 5.3% in the fourth quarter, all of which represented organic growth and reflected positive demand trends from both government and commercial clients. Exclusive of the quarter specific items that James Morgan will detail later in this call, operating income increased 9.7% in the fourth quarter, substantially ahead of service revenue growth, representing significant operating leverage. On the same basis operating income increased 5.7% for full year 2017, considerably ahead of our total revenue and service revenue growth for the year. As we anticipated our results continued to improve through 2017 and we ended the year with positive momentum and tail wins that point to continued growth in 2018 in each of our key business areas. Let's discuss each of these areas. First, in our government business, we expect year-over-year revenue growth in 2018. These expectations are based on our current backlog and pipeline. We're also pleased with the passage of the recent Bipartisan Budget Act as it represents the highest increases in years for civilian agency budgets and it provides the framework to pass and enact fiscal year 2019 Appropriation bills on time. We've not included any significant benefit from higher civilian budget in our 2018 revenue guidance, given the time it generally takes to move from budget agreement to revenue recognition. The current schedule gives law makers through 23 of March to reconcile the House and Senate bills for each of the 12 Appropriation sub-committees. Once the Appropriations bills are signed, the agencies generally develop internal operating plans that show how they will flow the funds down to the specific organizational units. If congress gets the bills done by March 23, we should expect to see money placed by the end of September. This means the revenues on contracts won are not expected to flow until the fourth quarter at the earliest. We ramp up new programs coming in early 2019. So while the Bipartisan Budget Act is good news and should benefit our business late in the year, it will be more of a needle mover for ICF in 2019. That being said, many of the specific elements of the budget are closely aligned with ICF capabilities and business development focus areas, particularly around public health and infrastructure spending. In addition, almost $90 billion have been allocated for disaster relief in Texas, Florida, California, Puerto Rico and the US Virgin Islands. The act did provide time table for disaster recovery funding, which should move faster and we expect to see a number of RFPs issued in the coming months. Now, let's look at our second area, our commercial business. Revenues from commercial clients are expected to increase at a mid single digit rate in 2018 following the very strong showing we had in 2017. With respect to our business with commercial energy clients, we anticipate continued revenue growth in 2018. We're executing on more than 150 energy efficiency contracts for utilities across the country, continuing to win new work and expanding the scope of existing work. At the same time, our new business pipeline in energy markets remains robust. In addition to energy efficiency, we've been gaining traction in energy markets advisory work, particularly around distributed energy resource consulting and in providing our traditional financial analysis and transaction related valuation services. Also, our commercial marketing services business is positioned for year-on-year growth in 2018, building upon our growth in 2017. Improved economic conditions should drive expanded marketing communication budgets and our new business pipeline continues to grow both in overall size and average dollar value of new opportunities. In January we acquired a boutique loyalty and strategy marketing company in the UK, which is operating as part of ICF Olson's 1-to-1 loyalty practice. The firm we acquired is a leader in developing loyalty strategies for clients in Europe that we believe we can leverage in our work for US clients. Additionally, this gives us the ability to extend our work into Europe for our current Global loyalty clients and to build new relationships. In the aggregate, our marketing services work for commercial and government client's amounts to over $325 million in revenues in 2017, giving ICF substantial qualification to leverage in business developments. James Morgan will provide additional details on the impact of the tax law changes on our results. Given our strong operating cash flow, we're able to utilize the benefit of our lower effective tax rate to return capital to shareholders by the initiation of a quarterly cash dividend of $0.14 per share. Our capital allocation priorities however, remain unchanged. We continue to focus on making strategic acquisitions to expand our access to attractive markets, deepen our domain expertise and improve volume implementation capabilities. At the same time, we're investing in business development, innovation and training. We will continue to repurchase shares to at least offset any dilution due to the employee incentive programs and we'll continue to pay down debt. As you can see our outlook for 2018 and beyond is quite positive. Our backlog at year-end 2017 was $2.1 billion, of which 51% is funded. We had contract wins last year of 1.31 billion, the majority of which represented new business and we ended the year with a new business pipeline $4.2 billion all which provides ICF with positive momentum heading into 2018. I'd now like to turn the call over to ICF President, John Wasson for a more detailed review of our results. John?
John Wasson: Thank you, Sudhakar and good afternoon everyone. The fourth quarter was a period of solid execution across the key areas of our business, which is continuing as we move to 2018. As in previous periods, the benefits of ICFs diversified business model will clear in the first quarter and for full year 2017. Of the 10.9% total revenue growth we posted in the fourth quarter, 5.3% represented service revenue growth with remainder due to higher pass-through revenue. Our government business continued to perform well in the fourth quarter, with revenue increasing by 2.7% overall. Thanks, to another strong showing by our international government business and a slight year-over-year uptick in our federal business, which more than compensated for the quarterly decline in state and local government revenue. Excluding the impact of pass-through revenue, federal government revenue would have increased about 1% in the fourth quarter and was stable for full year of 2017. This was in line with our original guidance and an accomplishment, given the slowdown caused by the transition to a new administration in Washington and a significant delay in getting a fiscal 2017 budget approved. Federal government revenue accounted for 45% of total revenue for the year, although, in the fourth quarter, it dipped to 40%, given the substantial commercial revenue growth in the period. We were awarded a significant number of high value and strategically important federal contracts in 2017 across a broad group of agencies, including Department of Health and Human Services and the Department of Defense and the departments of state, inland security, interior, energy, transportation and others. In 2017, ICF launched campaigns for the Centers for Disease Control on three priority public health issues, Opioid abuse, Sepsis and Antibiotic resistance. As a result of our excellent work on this campaign, we've already heard that the client plans to expand this campaign and we're very well positioned to benefit from the Bipartisan appropriations for the CDC, which includes 6 billion to combat the Opioid crisis. This is also a strong year for the Department of Defense where we won $93 million cyber security services re-compete from the U.S. Army Research Laboratory. Additionally, in the first quarter of this year, we won two awards eligible to compete to provide scientific and engineering support services to an IDIQ with the Army Research Laboratory. And we won a new task order targeted at 22 million to perform full spectrum defense cyber operations and research management. The Bipartisan Budget Act includes approximately 120 billion in additional civilian agency spending federal government fiscal year's 2018 and 2019, which has provided a more positive outlook for federal government revenue growth in the latter part of 2018 and through 2019. As Sudhakar mentioned, some of the priority spending areas are in ICFs sweet spots. In addition to the $6 million to do with the Opioid epidemic, there is 22 billion for infrastructure spending included in the new budget. And there is additional 89 billion in our proposed hurricane disaster relief aid, all these areas in which ICF has deep domain expertise. As you know, we see significant opportunities for ICF arising from the housing recovery programs that will needed following the severe damage caused by the August and September hurricanes. We continue to RFPs to be released in support of community development, block grant funded housing recovery over the next several quarters and we are investing to ensure that we're well positioned to win a material amount of work in this area. In the fourth quarter, revenue from state and local clients declined by 11% and was off 3% for 2017, accounting for 10% of total revenue for the full year. The fourth quarter decline was caused by the planned completion and slowdown of certain infrastructure project and delays in new project ramp up due to fires and weather conditions in California, which we signaled during our third quarter earnings call. We expect to see growth in this client category in 2018, given the large ongoing projects we've won on the West Coast, specifically a high speed rail work in California, a contract with Los Angeles County Metro, the California Department of Water Resources, Caltrans, the California State Water Resource Control Board, the Washington State Department Transportation and many other state and local clients across our environment in planning service businesses. Jumping up the government client category is our international work. This continues to post substantial year-on-year improvement. Revenue increased 42% in the fourth quarter and 20% for the year, to account for 7% of total 2017 revenue. Here we're benefitting from a solid backlog and a double digit increase in the value of contracts won in 2017 compared to 2016. We expect to see continued strong growth in international government revenue in 2018. Revenues from commercial clients increased 25% in the fourth quarter and accounted for over 42% of total revenue. For the full year, revenue from commercial clients increased 11% and represented 38% of total revenue. Energy markets remained an excellent performer. Revenue from energy efficiency programs increased at a substantial double digit rate and in the fourth quarter alone we were awarded more than 140 million in energy efficiency work. Represented expanding contracts scopes and we also saw a sustained pickup in our energy market consulting services. Our distributed energy resources consulting business has performed well and has acquired several new contracts, including utility pilot programs, testing distributed energy technologies, which we believe points the way to future utility implementation programs beyond traditional energy efficiency. We continue to see engagements in our traditional energy market and financial analysis areas, a strong interest in the transaction end of the business associated with development of wind and solar resources. We also have been assisting several utilities with resiliency and planning activities. Based on our current backlog and robust energy markets pipeline, we're looking ahead at continued strong performance in commercial energy. The California energy efficiency market represents additional growth opportunities for us to be released in the third quarter as the state alters its approach to energy efficiency, renewable energy and greenhouse gas reduction. Our commercial marketing service businesses also did well in the fourth quarter and the pipeline increased substantially heading into 2018. The positive momentum in our loyalty business continued in the fourth quarter and we expect to see additional expansion of that part of our business with the integration of the future customer. The boutique firm in London has been very successful in developing leading edge strategies for well-known European brands. In the meantime, we continue to cross sell engagement services across our client set. Since we integrated Olson into ICF, we've captured revenue synergies of 105 million, representing new business neither ICF nor Olson could have independently won. In the fourth quarter, our pipeline grew considerably and it's comprised of an increased number of integrated opportunities involving ICF Olson and ICFs legacy clients, providing positive momentum for 2018. ICFs business development pipeline was 4.2 billion at the end of the year and included 30 opportunities greater than 25 million and 82 opportunities between 10 million and 25 million. Our annualized personnel turnover was 14.5%. In summary, we're pleased with our fourth quarter results and ICFs positioning this year. We expect to report higher revenue from our key business areas in 2018 and to progressively see the benefits of the growth catalyst that Sudhakar spoke about as we move through the year. I'll now turn the call over to James Morgan, our CFO, for a financial review. James?
James Morgan: Thank you, John. Good afternoon, everyone. I'm pleased to report on our 2017 financial performance and on the positive momentum that we saw in the fourth quarter. Total revenue for the fourth quarter of 2017 was $321.2 million, a 10.9 increase over the last year's $289.6 million. This double digit growth reflected increased revenues from both government and commercial clients and the higher pass-through revenue levels that we guided to on the third quarter earnings call. Service revenues increased 5.3% to $217.8 million, up from $206.8 million in the fourth quarter of 2016. Pass-through revenues of $103.4 million for the fourth quarter were up 25% year-over-year from $82.8 million last year. Gross profit dollars increased 6.4% to $113.9 million in the fourth quarter of 2017 from $107.1 million in the year ago quarter. From a margin perspective, 25% year-over-year growth in pass-through revenues typically generate little associated margin resulted in gross margin on total revenue, deceasing 150 basis points 35.5% in the fourth quarter of 2017, as compared to 37% from last year's fourth quarter. However, gross margin on service revenue was up 50 basis points year-to-year to 52.3% from the fourth quarter of 2017. Indirect and selling expenses for the fourth quarter were $86.8 million or 27% of revenue, up from $77.7 million or 26.8% of revenue last year. Roughly half of the $9.1 million year-to-year increase of $4.3 million was the result of special charges. Including the impact of a strategic tax planning decision to change the mix of some of our bonus pay off from equity to cash, as well as severance related to organizational staff realignments, office closures and acquisition related expenses associated with the acquisition of the future customer. As always we continue to look for opportunities to reduce our cost and provide a positive return and net benefit over the mid to longer term. Let me take a minute to discuss the strategic decision regarding our incremental cash bonus expense in more detail. Given the higher corporate tax rates in 2017 versus 2018 and beyond, we elected to pay roughly 10% more of our year-end bonuses in cash instead of an equity related instruments. With accelerated tax deductable expense into 2017, where we had a higher tax rate. This decision saved the company roughly $400,000 in taxes and also mitigated future share dilution caused by our employee incentive programs. This decision did not change the nature of the bonus pay outs to executive officers nor did it change the aggregate value of bonuses. It only changed the mix of bonus for nonexecutives. We will benefit from this decision beginning in 2018, but the decision initially increased our fourth quarter indirect and selling expenses by $3 million. Adjusted EBITDA of $31.4 million was up 5.2% year-to-year from last year's $29.9 million, in line with service revenue growth. Adjusted EBITDA margin on service revenue was 14.4% for the fourth quarter of 2017, flat with the fourth quarter of last year. As a remainder, adjusted EBITDA excludes the impact of special charges I noted before, including the incremental cash bonus expense, office closures, severance and acquisition cost. For the fourth quarter reported EBITDA was $27.1 million, a $2.4 million reduction year-to-year in EBITDA. Adjusting for the $4.3 million of special charges, operating income of $24.5 million was up 9.7% year-to-year from last year's $22.3 million adjusted operating income. The 9.7% growth reflected nearly two times the growth of our service revenue, evidencing improved operating leverage. As a result of the onetime incremental cash bonus expense and other special charges, operating income reported of $20.2 million was down $1.8 million from the fourth quarter of last year. Also benefiting our year-over-year operating income comparisons, was 13.9% reduction in the amortization of intangibles from acquisitions to $2.7 million in the fourth quarter of 2017, as compared to $3.1 million in 2016s fourth quarter. Certain intangibles became fully amortized throughout the year. The recently enacted Tax Cuts and Job Act gave us a onetime tax benefit of $16.2 million from the provisional adjustment of our differed tax liabilities and differed tax assets. This onetime benefit was the key contributor to the 113.6 % net income increase year-over-year to $27.1 million versus $12.7 million a year ago and added $0.85 to diluted EPS, which was $1.41 per diluted share for the fourth quarter. Non-GAAP diluted EPS, which excludes this onetime tax benefit as well as cost of $0.22 per share related to the previously mentioned special charges in amortization of intangibles, was $0.78 for fourth quarter of 2017, as compared to $0.76 in the prior year. Now let's turn to the 2017 full year results. For 2017 we had a record revenue of $1.229 billion, up 3.7% year-on-year and at the upper end of our revenue guidance. Service revenue was up 2.3% year-over-year to $884.2 million from $864.8 million last year. Pass-through revenues were up 7.7% for the last year. While EBITDA decreased year-over-year slightly by $900,000 to $111 million, adjusted EBITDA which excludes the special items I just mentioned, increased to $117.9 million from $113.9 million in 2016 and was 13.3% of service revenue, up 16 basis points over 2016. This is in line with our objective of increasing adjusted EBITDA margin on service revenue by 10 to 20 basis points per year by continuing to invest in the business to support future growth. While depreciation and amortization expense of $17.7 million was up from $16.6 million in 2016, amortization of intangibles decreased 12.8% to $10.9 million in 20107 from $12.5 million last year. Operating income of $82.4 million as reported was essentially flat with the year ago, but adjusting for the $7.2 million of special charges, was up 5.7%. Net income increased 35% to $62.9 million in 2017, compared to 46.6 million last year, primarily due to the onetime tax benefit in the fourth quarter of 2017. Reported diluted earnings per share of $3.27 for 2017, compared to $2.40 in 2016, an increase of 36.3%. Adjusting for the full year tax benefit of $0.84 per share, EPS would have been $2.43 for 2017. Non-GAAP diluted EPS, which includes amortization of intangibles and special charges mentioned earlier, as well as the tax benefit, was $3.02 per diluted share for 2017, up 5.2% as compared to $2.87 last year. Our cash provided by operating activities in 2017 of $117.2 million compared favorably with our guidance of $9o million to $100 million and to our 2016 operating cash flow of $80.1 million. Favorable cash flow was achieved due to excellent collection activity to include some receivable collections that move slightly to the left into 2017 as opposed to being collected in 2018. Day sales outstanding for the fourth quarter of 71 days compared favorably to 78 days in the fourth quarter of 2016. We anticipate DSO to be in the range of 72 to 77 days, including the impact of differed revenues in 2018. Regarding capital allocation, capital expenditures in 2017 were $19.3 million. We utilized $53.1 million during the full year to pay down debt under our credit facility, which totaled $206.3 million at year-end. Additionally we made stock purchases under our share repurchase program totaling $30.7 million during the full year of 2017 and exceeded our goal of offsetting dilution cost from employee incentive programs to maintain our fully diluted weighted average share count below 19.5 million for the year. In fact, for 2017 the fully diluted weighted average share count was 19.2 million. As of year-end 2017, we have $100 million left on our current repurchase authorization, which was renewed in November of 2017. Now, we'll provide some details regarding our expectations for the full year 2018. First, we continue to expect expansion of adjusted EBITDA margin on service of 10 to 20 basis points in 2018. We expect to achieve this while continuing to invest in the business, to improve the ability of the company to scale efficiently and deliver ongoing organic growth. We're currently forecasting full year depreciation and amortization expense to be in the range of $19.5 million to $20.5 million for 2018. We're forecasting amortization of intangibles to be approximately $9 million. We're expecting full year interest expense of $6.5 million to $7.5 million. Capital expenditures are expected to be $24 million to $26 million range, somewhat higher than in previous years as we make additional infrastructure investments to further improve the operating efficiencies of the company and invest more in developing intellectual property. We expect the full year tax rate of little more than 26.5% and we expect fully diluted weighted average shares of approximately 19.1 million for 2018. Lastly, I would like to mention that as a result of this tax reform act and the related reduction in our US federal tax rate, we reviewed our capital allocation strategy. Given our already strong cash flow, we're using our tax savings to initiate a dividend program and pay a quarterly dividend of $0.14 per share payable on April 16, 2018to shareholders on record as of March 30. The implementation of the dividend program reflects management's desire to enhance our returns to our shareholders and our confidence in the underlying health and momentum of our business, but the cash benefits to be received by the tax reform act, the initiation of a dividend program does not change the capital allocation strategy that we've historically employed. We still have significant cash flow to fund acquisitions and to execute share repurchases that at a minimum will offset the dilution caused by the employee incentive programs. With that I'd like to turn the call back over to Sudhakar.
Sudhakar Kesavan: Thank you, James. In summary, we're heading into 2018 with multiple growth catalysts. We also continue to focus on making our back office leaner and more efficient as James mentioned. This gives us confidence in our ability to continue to generate significant operating leveraging plus investing in our businesses to flow future growth. For 2018 GAAP earnings per diluted share is expected to be in the range of $3.25 to $3.45, exclusive of any special charges, normalizing for the impact of the tax act, our GAAP earnings guidance on the midpoint represents16 .7% year-on-year growth on total revenue of $1.245 billion to $1.285 billion. The midpoint of our total revenue guidance is equivalent to 2.5% growth in total revenue and approximately 4% increase in service revenue, effectively all of it organic growth. At the midpoint of our revenue guidance approximately 80% of the revenue is either already in backlog or in final stages of capture in our pipeline. Non-GAAP earnings per share are expected range from $3.60 to $3.80. As I mentioned earlier, our revenue guidance does not include any material impact from increased federal civilian spending given the expected timing of appropriations, the same holds true for hurricane related recovery spending, we will certainly update you on any developments in these areas as we progress through the year. Operator, I would now like to open the call to questions.
Operator: Thank you. We will now begin our question-and-answer session. [Operator Instructions] And we have our first question from Tobey Sommer with SunTrust.
Tobey Sommer: Thanks. I was wondering if you could give us an update on your perspective of where we sit with Community Development Block Grant funding associated with the hurricanes seeing some news of HUD dispersing moneys down to local governments, but curious what that represents in terms of the timeline between that kind of news in RFPs. Thanks.
John Wasson: Sure, Tobey. It's John Wasson. I would say a couple of things. I think as you know, the initial appropriation, I've several months back provided about 7 or $7.5 billion of total funding for CDBG program. So I think that that money has been allocated to the states in Puerto Rico and so we are just beginning to see some RFPs related to that. The most recent purchase agreement that added another approximate $90 billion of hurricane funding still needs to be appropriated and that will come later in the summer we expect and so we really expect to see the majority of the RFPs and most of this coming by mid-summer and we would expect to see awards later in the summer. And so I still think we are early in that process in terms of the CDBG related funding flowing down to the states and see RFPs turn into work.
Sudhakar Kesavan: Yeah. I would just add. Of the $7.5 billion, I think $2 billion were CDBG. The rest was sort of human related I think and there was - most of the work is being done on debris removal et cetera. I think the housing recovery stuff is still to commence. So I think that it will take its time as we had suggested to you in our earnings call or two ago. So I think we are still in the same process as we thought we would be and we will follow this carefully.
Tobey Sommer: How many potential customers do you expect to receive CDBG funds associated with residential reconstruction and then secondly, is ICF competing for infrastructure related projects as opposed to a residential reconstruction?
Sudhakar Kesavan: Well, I think the plans depending on the states are going to be different. There could be the states. In Texas, for example, the state could be a client or the counsels of governments in the affected areas will be clients. In Florida, there are different counties will be clients. I think in Puerto Rico, it's the - the Government of Puerto Rico which is going to be the likely client. So I think that all that depends on how the money is divvied up and how works we just have to make sure we follow how the process works out and I think on the infrastructure side, we might be looking at ways in which we can help utilities and other sort of entities on resiliency et cetera, so I think that is what we might be looking at too, but I don't know that I want to say anything more than that.
Tobey Sommer: Okay. Is the $90 billion or so in appropriations to date, is that the final total in your opinion or do you think it might be more from what you've heard from perspective customers?
Sudhakar Kesavan: And if you talk to different customers, they all expect large amounts of money. I think that certain states expect that amount just to come to them. So I think that it's difficult to say. I mean I think we just have to follow my - if I take a bet I think there will be more appropriations coming.
Tobey Sommer: Okay. Shifting gears, could you discuss the - give a little bit more color about the pass-through revenues in the quarter and also describe your expectation for elevated levels in 2018? What's driving that?
James Morgan: Tobey, I can cover it. This is James. In Q4, really there were two areas that we expected to have elevated pass-through revenues in the quarter and those came to fruition. One was with our international government business, business we do with the European Commission. We had some elevated pass-through revenues associated with that work. And then also with our commercial digital marketing business, we had some elevated pass-throughs. Those were the two major drivers for 20 - for the fourth quarter of 2017. As far as for next year, if you look at pass-throughs of what we are anticipating and certainly this year was the higher than normal year for pass-throughs, we were low where 28% of our revenues were pass-through revenues. Typically that's a point and a half or two higher than what we typically see. We expect to be next year down a little bit maybe closer to roughly the 27% range give-or-take 20 basis points.
Tobey Sommer: Okay. Thank you. That's helpful. Two other things from me, if you could update us on the size of the California energy opportunities that are coming to market in the third quarter and maybe provide some additional color on your increased intellectual property investment that you described, is that an overhaul of the IPM or anything else you could give color on describing what those intellectual property investments are?
Sudhakar Kesavan: I think on the California RFPs and energy efficiency, I think the state has decided to outsource more of the energy efficiency business than they used to and I think that that's something which we are pleased about. I think we mentioned that earning call or two ago, so I think those RFPs are coming out their traditional energy efficiency RFPs which you would see. Some of them are non-traditional and we will - California is the large market as you know and we will look at that carefully. It's also a leading market and there is lots of pilot projects et cetera which they do. So we will see how those things come out. On the intellectual property investment, I think we basically are improving our loyalty programs. We also are trying to make sure that we invest in them to help utilize them in various other markets, including the customer engagement business in the utility industry and we are also trying to make sure that we have other variants of certain programs which I would - I just don't want to talk about too much. But basically there is a large market in the utility industry where if we just spend a little bit of money and had the right angle on our existing tally platform, we could use it in a much more effective way and we would have an immediate potential for the amount of sales. So I think that we are - that's what we are doing spending more money on - the IPM is in pretty good shape. Over the years that investment has continued. But most of the investment there is from client work. So it's really not required too much of investment from the company.
Tobey Sommer: Okay. Thank you.
Operator: Thank you. Our next question comes from Marc Riddick with Sidoti & Company.
Marc Riddick: Hi, good afternoon.
John Wasson: Hello, Mark.
Marc Riddick: I wanted to follow-up a couple of things, a couple of things you covered with the commentary around the CapEx increase. I was wondering if you could shed a little bit more light on that around maybe what you are looking at, is that from a technology spend perspective, are we looking at that and from a timeframe that you might be looking at that we should think about?
Sudhakar Kesavan: Well, as I said, we are - the loyalty business is a very solid business for us. It's the revenue. As you know, the nature of the revenue is quite sticky. We basically think that if we spend a little bit more money on it and make it a little more modular. We think that we can cater to clients of all sizes. So we are doing that. We are also modifying it to make sure that, as I just said, we cater to the utility industry which has its own characteristics and then we are adding some other elements to it which will help us unseat certain competitors in the utility industry which we think are - where the industry is using products which are perhaps not as effective as this would be going forward. So I think that that's our focus. We should be able to get the development down in the next year or so at different times of the year and we will certainly go to market as we get it done. So I think that's basically what we are doing on that front. We are also spending on the CapEx front. We are also making sure that we modify our back-office systems, which are - which needed some upgrades. We have certain HR systems et cetera, which are going obsolete. So we are trying to make sure that we get those up to speed and up to date and I think that we are doing something there also. So that's basically what we are doing on CapEx.
Marc Riddick: Okay. And I was wondering if you could touch a little bit about the new commercial wins that took place during the quarter and I wanted to get a sense of given what you saw there and the pickup that you saw there with new business wins in the commercial space, are we may be looking at sort of overall gain in momentum there and would it make sense to sort of look at commercial as potentially being over 40% of revenue going forward for a while now that you seem to gain some momentum there? And then just from the standpoint of magnitude, is that commercial specific? Is that one of the larger quarters of new business wins? Maybe if you could sort of help us sort of get the framework of the magnitude of that. Thank you.
Sudhakar Kesavan: Yeah. I think that we certainly have - over the last quarter I think most of our wins, as I suggested in the overall sales, were primarily new work and we certainly won our fair share of more commercial work than we did - than we have in the past. I don't know that one quarter makes a trend, so we will just wait and watch and see. I think that it will take more than a quarter for us to switch to 40% or more on commercial. I think we're certainly ahead of that way, but we hope that it continues to grow as rapidly as it did. But we will wait and watch, but we are optimistic.
Marc Riddick: Okay. Then one last one from me, I was wondering if you could spend a little bit of time on the international growth and maybe some of the revenue drivers there and some of the trends that you are seeing that perhaps may have had some influence on your guide for 2018. Thank you.
John Wasson: And so this is John Wasson. I mean I think as we've talked about over the last year to 18 months on the international side, we have certainly won a significant amount of new contracts with the European Commission. The issue was the activation of work under those contracts and I think we've seen in the last couple of quarters certainly that return to activating the work and the issue is getting back to business as usual. Obviously the last year or 18 months, there's been a number of distractions, the migration crisis and I think we are getting - what you are seeing is we are getting past that and European Union and European Commission is getting back to its mission and certainly resulting in activation of work under contracts we won in the last year to 18 months and we expect that to continue. That's really what's driving the revenue growth right now.
Marc Riddick: Okay. Perfect. I appreciate. Thank you very much.
Operator: And thank you. Our next question comes from Joseph Vafi with Loop Capital.
Joseph Vafi: Hi, guys. Good afternoon. Could you repeat the guidance methodology for the year based on what percent of visibility in your backlog right now?
John Wasson: I think we have about 80% of our revenues is in backlog which is not dissimilar to what it has been in the past, Joe.
Joseph Vafi: Okay. Thanks for that color. And if you kind of looked at that visibility, I mean I know that 2017 was - there was uncertainty in that 80% number. Would you characterize the amount of uncertainty and how hard that 80% visibility is versus a year ago? Would you call it really apples-to-apples or is that potentially a harder visibility on the 80% versus a year ago?
John Wasson: Yeah, I would say it's certainly - the atmospheres certainly, Joe, are better. Last time when we did this call, the administration had made certain statements which seemed to be quite dire and I think things are settled down since then last year when we talked to you. So I think that we certainly think the quality of the 80% is that's what you are alluding to is certainly better than what it had been last year.
Joseph Vafi: That's helpful. And then, John, I know in some of our discussions during the year, I know you are continuing to look forward to see more second and third level political appointees across agencies and departments et cetera that kind of help drive new policy and that would maybe ripple into potentially more opportunities for you. Have you seen any progress on that front to kind of help drive those new policies and then potential work for you on those new policies?
John Wasson: Yeah, I would say there has been some improvement, Joe. There is still more room for additional appointments that could certainly be made and need to be made. But there has been some progress on that.
Joseph Vafi: And then I mean it's a nice to see a dividend with the tax break. I mean it's clearly not something that's going to really slow down any M&A efforts. Was the idea just - is the M&A environment changing at all and it's not that much money really that's going up to dividend versus other capital allocation strategy, is there anything going on the M&A front that said, hey, maybe we just hand it out right now?
Sudhakar Kesavan: As you pointed out, I think that we basically - as I emphasized too, Joe, we think that there is lots of interesting things out there. And so we are not changing our sort of overall allocation strategy. We clearly thought that given that the tax rates had gone down and we have an opportunity to return some capital to shareholders. We should do that. That's what we did. But I don't think our posture has changed any in terms of how we want to make sure we grow the business.
James Morgan: Yeah, keep in mind. We still have a very healthy credit facility with capacity for us to help support our acquisition desires as we move forward, so paying the dividend will not hinder our ability at all to do acquisitions in addition that we expect to have great cash flows coming here.
Joseph Vafi: Okay. That's helpful and then just perhaps finally I mean there has been kind of ongoing modest restructurings here and there and it sounds like you are talking about a little bit of operating leverage next year or this year I guess. Should we think about these restructurings as helping more long-term on the operating leverage front?
Sudhakar Kesavan: Yeah, it certainly will. I mean as we have talked about in the past, we have been taking efforts over the last few years to continue to improve our profitability and some of that's been getting reinvested back into the business to grow long-term and as we've mentioned we are investing more in some of our internal intellectual property as well as some of our systems, so some of the dollars or savings are going into our reinvestment back into the company. But at the same time we will continue to drive margin improvement at least 10 to 20 basis points per year margin on service revenue. So we believe we can continue to deliver those margins as we move forward and I think as we wrap up some of our internal programs, we will be able to deliver more in the future years, but for right now we're signing out to 10 to 20 basis points improvement per year.
Joseph Vafi: Great, thanks very much guys.
Operator: And thank you. Our next question comes from Lucy Grove [ph] with Cohen & Company.
Unidentified Analyst: Thank you for taking the questions. First to start off, can we please just clarify it sounds like there is very low hurricane kind of work they did to your 2018 plan, is that fair to assume given the timing of that, you may be able to get to us mid-single digit type growth in 2019?
John Wasson: This is John Wasson. I guess what I would say on the hurricane front is we are picking about $20 million of revenue for disaster recovery into our 2018 guidance. I would say about $5 million of that is Sandy related that will be wrapping up $15 million of work from the hurricane sort of occurred last summer. I think there is significant potential upside depending on the funding and timing of the opportunities in front of us and we are successful. I think we've spoken in other forums about our history on the hurricane recovery work and if you look at that history and efforts around super storm Sandy, we did about $15 million with the housing CDBG related work over four or five years. I think the maximum revenue in the one year was about $20 million. So that's one bookend. I would say that's the conservative bookend. But when you think about our history and then obviously we did the road home and there we did north of $300 million in a single year of revenues on CDBG programs and road home program and so kind of 20 to 25 million to $300 million is how I would bookend the history, I think given the scale and press of the impacts from these recent storms. That's a pretty good range. I think as we said that these opportunities from an RFP perspective will play out this summer and into the fall. We would expect it to wrap up work and as we get later into the fall and into the fourth quarter and then it could potentially be a very significant opportunity for 2019. I hesitate to pick a growth rate for 2019 or give guidance on a specific percentage. I would just say to you it just goes to bookends. The range of revenues we've had or experienced under Sandy down the road home I think is a reasonable range to - it's a reasonable way to look at the potential opportunities in front of us.
Unidentified Analyst: That's helpful. Then if you consider that along with potential - more further appropriations on federal civilian agencies, especially with the HHS on healthcare, would it be - do you need to hire more people in order to support those contracts and awards and to support your potentially organic growth?
John Wasson: I mean again I would say on the additional civilian appropriations that are in the recent budget agreement, I would say what I'm about to say is separate from the hurricanes. So this is just talking about the civilian appropriations in the time of the hurricane disaster recovery funds. Again I think we see those as given the timing of the flow of those funds, budgeting should be appropriated. The funds need to throw through the agencies and so we really see any pickup or upside from our guidance as largely a Q4 ramp-up and then really providing material upside in 2019. And so we baked in some ramp-up in Q4, small amount of ramp-up in Q4 into our guidance, but then see it as really - a needle mover again on top of the hurricanes for 2019. In terms of the employees, I would say that I don't think we need to hire significant amount of additional employees to take advantage of the new opportunities we see from additional growth creations as we get later into the year. Of course, we are a people business and for us to increase our revenues, it's a material increase we need to have folks, but I think there is room on the margin for periods to increase utilization with the staff we have and I would expect we would be able to do that to support the additional appropriations as we get later for funding from additional appropriations as we get later into the year.
Unidentified Analyst: Got it and maybe a couple of questions for James on the question of pass-through revenue, I thought you had a large state department contract that was also driving the pass-through variances over the course of 2017. That contract seemed to maybe up for recompete by late this year. Is that the case and is that baked into your lower pass-through revenue mix?
John Wasson: This is John. Maybe I will start here. It is true we have a large state department contract that's actually with the USA IDs. It's a significant contributor to our pass-throughs. That contract is up for recompete this year and so that - it's a potential contributor. We've had that contract for many, many years I want to say 20, 25 years that is probably six or seven cycle of recompetes and so we are confident about our prospects on that recompete. But that contract has had material pass-throughs and there had been some timing associated with some of the international development work we do under that contract from a health perspective for around specific countries using developing countries, political issues, or USA ID approving has to begin work in certain countries. James, do you want to add anything on that?
James Morgan: Yeah, I guess I would just say with regard to 2018 in the level of pass-throughs, what we've done, what we have baked into our plan for 2018 for that contract is essentially the same level of pass-throughs that we had in 2017. So we are giving that somewhat conservative until we see the change.
John Wasson: But your initial point is correct. The pass-throughs on that contract have been down several quarters of 2017. It certainly impacted our pass-through ratio.
James Morgan: That's right.
Unidentified Analyst: That's great.
John Wasson: Latter half of 2017, yeah.
Unidentified Analyst: My last question is, James, if you can help us quantify some of the moving pieces in your operating cash outlook in terms of the process from tax savings and offsets. It looks like a pretty large increase in CapEx and if there's any other offsets in there?
James Morgan: For 2018 or are you referring to 2017?
Unidentified Analyst: For 2018, so your operating cash outlook of 100 to 110 is down from the 117 that you reported?
James Morgan: Yeah, so what we - I mean at a very high level, you may recall that we had guidance for 2017 of $98 million to $100 million of operating cash flow, so at midpoint of 95 going at 117, we would be bet by $22 million at the midpoint. And that was really driven by the fact that we had some - there were some contracts especially associated with our international work and also some of our domestic commercial work, whereby we received some advance payments for the work and that's why differed revenue balances went up. In addition, we had some receivables that basically moved to the left by few days from 2018 into 2017. And when you sum all that up, it gets you close to that $22 million difference. What we're anticipating for 2018, if you look at kind of our net income and then non-cash performance, we're expecting - if you that add that up you would expect to be just over - somewhere between $100 million to $105 million of cash flow. And we believe we'll get a little bit of a benefit from a tax perspective just because we've - the tax rate is down and we have some receivable balances and taxes that will reverse. And but then we do expect that our DSO will go up slightly, we are at a little less than 71 days in 2017. We expect that will get a little bit closer to the middle of our range for 2018, our range being 72 to 77 days. So that's causing a little bit of use of cash from a working capital perspective and that's what is taking this to the midpoint of 105. Hopefully that helps.
Unidentified Analyst: Thank you for the color. I appreciate it.
Operator: [Operator Instructions] And we have our next question comes from Ben Cleave with Noble Capital.
Ben Cleave: Hi, I have two questions. First, is there a state of excitement of your business that has an especially strong potential to beat your 2018 guidance?
Sudhakar Kesavan: Could you repeat the question?
Ben Cleave: Is there a certain segment of your business that seems like it could - seems like it has a strong potential to beat your 2018 guidance - revenue guidance?
Sudhakar Kesavan: I guess based on the decent amounts we made, I think that clearly if we get some of the disaster recovery work earlier, that would help us more than what we've anticipated. We've got $15 million build in here, but if there's a run rate which is higher than that that will probably help beat the guidance and also if the budget process, the reconciliation process moves more quickly and the agencies have money earlier and we start getting projects on existing contracts, we have all the contract vehicles which we - which are required, even that could also up the numbers. So both the civilian agency spending issues and I think, disaster recovery are the two things which could potentially up the number.
Ben Cleave: Okay, great. Thank you. And my second question is, can we expect the CapEx for 2018 to be somewhere to fiscal 2017 levels or will there be any meaningful change there?
James Morgan: So 2017 we were - as I'd said $19.3 million in CapEx, our guidance range that we gave for CapEx for 2018 is $24 million to $26 million, so it's about $5 million to $6 million higher at the midpoint. And as we mentioned that's been driven by some investments that we're making internally from an industrial property perspective as well as we are making some investments in some of our internal systems, HR and financial systems driving capital up.
Ben Cleave: Okay, thanks. That's all for me. Thanks for your time.
Operator: And we have no further questions at this time. I'll now turn the call over to management for closing remarks.
Sudhakar Kesavan: Thank you all for participating in today's call. We look forward to keeping you up to date on developments at ICF. Thank you again.
Operator: And thank you ladies and gentlemen. This concludes today's conference. We thank you for participating. You may now disconnect.